Olaf Scholz: It's 1:00. So good afternoon, and a warm welcome from my side. My name is Olaf Scholz, Head of Investor Relations here at Krones. In a challenging macroeconomic environment with global uncertainties, we have confirmed today our financial targets for 2025. And Krones has also continued its profitable growth path. Today, Christoph Klenk and Uta Anders will give you more details about these figures and will give you also additional information. After the presentation, you will have the opportunity to ask questions. I think you also know how the Q&A session will work. So please use -- raise your hand in Teams or send me a short e-mail, and then I will hand over to you. Additionally, be reminded that this meeting will not be recorded, and it is also not allowed to record the meeting. Please also deactivate any functions of recording at Teams. So after these words in the beginning, I want to hand over to Christoph Klenk, CEO, to start the presentation. Christoph, the floor is yours.
Christoph Klenk: Olaf, thanks a lot. Yes, warm welcome on behalf of Uta and myself to today's conference call for Q3. So happy to have you. And I would like to start off with the statement. We are quite happy where we are, quite satisfied. And now we are running you quite briefly through the numbers, which you know already, and then we are looking forward to the Q&A session, which we are going to have. I would like to start off with drinktec once again, and most of you have been joining drinktec and have seen what we have stated there. Nevertheless, I just wanted to do a short summary on drinktec. I mean for us, it was really an outstanding show. And this morning in the U.S. said, I would say this drinktec has maybe remarked a milestone of Krones because for the first time, as we showed to you, we have shown that we are combining our lines through digitalization with our life cycle services, enabling a new business model. And I would say we all know how long it took in the industry, not only in ours that such models are becoming true. And we are quite happy that we have been moving through, let me say, those challenging times and exercise to get where we are. Nevertheless, and this statement we made already on drinktec as well, there's a long way to go to convert, let me say, the organization, our people, our customers and the technology to a level that we can really harvest on. Nevertheless, it's generating a further gap in terms of our, let me say, innovation level to maybe our competitors. So we are well positioned. On the other side, drinktec was again a great spot to talk to our customers, which is important when we come later on to Q&A in the sense of where are the markets, what is going to be 2026 in terms of the outlook, what our customers think. And last but not least, I mean, you get a good impression with all the competition. We have the luxury that most of them are showing up on our booth as well, and we have a chance even to talk to them, of course, on a legal basis as always. But nevertheless, you get quite a good feeling where they are. And in particular, for us, it was important to look at our Chinese competition to understand them. And despite that, we have good research in China that we had a chance to look on their latest developments, which you not obviously see in the market. So drinktec was all in all, for us, a very good thing. And we -- even with the good feedback we got, we stay humble on where we are because we believe only if we judge the future right and be down to earth, we can actually drive things forward. So with that statement, I jump into the presentation. And as always, I flip over this chart because I don't want to go in details. We go through everything. You are aware of where we are after 9 months jumping over that as well and coming to the order intake. I mean, this is -- I was joking this morning. I mean, we were all the time saying order intake should be book-to-bill ratio and compared to sales around 1. So we have a deviation. I think when I have it right in mind of EUR 4 million, it couldn't be better. And it's not organized. I have to say it's just the numbers we got out of the system. So we are quite happy, I can say order intake went well in Q3 as expected and as predicted. So we are really happy where we are with that. And you see the comparison to Q2, you see the comparison to Q3 last year, and you see the overall comparison. I think if you look to all categories, we are fine with where we are. And it's once again the proof of our statement, our markets are robust. Pipeline is full. Yes, we have some hesitation in the market for decisions because there are more projects out than what we have as order intake. But nevertheless, I would say this is fundamentally absolute sound and okay. Coming to the order backlog, no changes into that, which is good and bad to some extent. I mean, good for the visibility we have in terms of how can we use our capacities for the coming year. So that looks good. I mean we made that statement that we are set for -- up in the third quarter. This is true in particular for our main business, bottling and packaging. Intralogistics looks a bit better as the order backlog even is actually covering the full year 2026. And I would say processing is on the same level as we see it here with the bottling and packaging equipment mainly. So we are very well set for next year and important for us, delivery times were going back. We had a target to be between 40 and 45 weeks for 2025, and we are, for the time being at 45 weeks. We have some slots where we could deliver faster. We organized that on purpose just to make sure that we are not losing orders because of short delivery times. But all in all, that pays off quite well. Nevertheless, we have -- even here, we offer good financial stability for next year with this order backlog even with the challenging environment we have all over the place. Bringing us to how does the split look like for, let me say, our international revenue. And even compared to the last conference calls, we had no surprises here. I would say everything is developing in the right direction. You might wonder about the strong back going down to 21% in the U.S. But again, that has to do with growth of other markets. If you look to Europe, that went quite well. So let me say, in absolute terms, it's not as bad as it looks here. So absolute terms are okay for North America and Central America. And of course, Europe has caught up and that was pretty necessary. Remarkable is, from our point of view, Middle East, Africa because we had just the Gulf exhibition where we had a lot of discussions and very positive discussions. So order activities in Africa, Middle East is really good and high. On the other side, it's explainable because they have been the last continent moving out of COVID-19. So I would say that's a logical consequence. All the rest, I would say, is not so much to comment. China looks critical when you look to -- we are going back by 1.5%. But again, that has to do with other markets growing. They have been in absolute terms on a stable level, and we see that order activities by the end of the year in China looks good as well. So not more, not less. I think all the rest, if you have questions to the market, we can do later on in the Q&A. And with that, I hand over to Uta.
Uta Anders: Thank you very much, Christoph. Yes, moving on with revenue development. I mean, starting with Q3, I mean, as you can read, EUR 1.381 billion, which is a 4.7% growth quarter-over-quarter. Let me comment here at this point already about FX. I mean, up to Q2, we didn't pay -- not pay. That would be wrong. We didn't focus too much in our communication on FX because actually up to Q2, it wasn't that material. In the third quarter, we saw first more significant effects, in particular, coming from the U.S. dollar. And year-to-date, we have approximately EUR 60 million translation difference from U.S. dollar, Brazilian real, Mexican peso and Chinese renminbi being the major ones. Coming back to Q3, taking this out, we would have been also within our guidance. Coming to the fiscal year, year-to-date, EUR 4.107 billion, you see 6% growth. Without the FX effects, we would have been at a little bit more than 7%. I want to comment also on Netstal. I mean, as you know, in 2024, they had only been included for 2 quarters, whereas now they are included for the full fiscal year. So on quarter 3, no effect on the growth itself of 2025, a little effect. But as you know, we had included Netstal also in our guidance, 7% to 9%. Coming to our guidance, we confirm our guidance, and we are of 7% to 9%. And we are, of course, well aware that the fourth quarter must be much stronger than the average 3 quarters, and I'm sure we'll comment on that also later on. Moving on to profitability. Yes, also here, I mean, as Christoph said, we are satisfied with the third quarter, EUR 142.2 million, 10.3%. Already at the Capital Market Day, we had also said that Q3 will be hit by the expenses of drinktec. This was the case without the expenses of drinktec, we would have been at the upper end of the guidance of for the third quarter. And now looking at year-to-date numbers, EUR 430.7 million, 10.5% EBITDA margin and also comparing to last year, quite a significant increase by 0.4 percentage points. Netstal continues to dilute. I'm sure we'll talk about that later as well. And last but not least, we confirm our guidance also here of 10.2% to 10.8%. EBT, the only thing I would like to add here on top of what I already mentioned for EBITDA is, as you see, slight financial income, a little bit more than EUR 5 million. That was EUR 7.5 million last year because last year, we had an extraordinary positive effect, which didn't happen this year. But all in all, as we are stating they are also within our expectations. Moving on with personnel and material costs and starting with personnel expense. I mean, as you can see, EUR 1.277 billion, EUR 109 million more than same period last year, year-to-date. And this is the result of, firstly, increase in FTE, but of course, also merit increase in 2025. And as you can see, we are at 31% ratio, so slightly above our target range of 30%. On the other hand, if we look at material cost, I mean, as you can see, slight increase in absolute terms only EUR 57 million and the ratio itself due to, yes, very good cost management, but also certain mix effects went down to 47.7%. Taking all together, material and personnel, we are well below the 80%, which we are always also focusing on. Krones employees. In the fiscal year, we increased employees by 754. About 1/4 of it, close to 200 is service technicians. I mean we have mentioned many times to all of you that they are important for us, first of all, to deliver our backlog, but secondly, also because they are a source of growth in terms of service business. So that's one part of the growth. We also have more apprentices, and I mean there is a certain M&A effect from here also. And the remainder of it, the remaining increase is across the world also to cater for the growth in 2025, but also then beyond towards our 2028 targets. Moving on with the segments now, starting with Filling and Packaging Technology, making up 85% of our overall revenue. I mean, as you can see, EUR 3.479 billion for the full fiscal year, which is a 6.2% growth. I mean the FX effect I mentioned earlier, is to the most extent in this segment. And Netstal, as I mentioned, same development as I had said it for the group. Speaking about EBITDA margin, we had the Q3 at 10.5%. Also here, the most expense -- the most portion of the drinktec expenses was with Filling and Packaging Technology. So the statement made for the group is also true here. And looking year-to-date, you can see 10.7% increased by 0.3 percentage points. And also here, we confirm our guidance for both revenue growth, 7% to 9%, but also margin 10.5% to 11%. Moving on with Process Technology. I mean, as you can see, and that is true for the quarter, but also year-to-date, we are more or less on the same level as we were for 2024 in revenue development and well in line with our growth forecast, which is 0% to 5%. And looking at the EBITDA margin, nice development, also strong Q3, 10.2 percentage points versus 8.7% last year. And year-to-date, we are at 10.6% versus 9.6%, which is, to a certain extent, also due to mix. But most importantly, it's just also because of executing the strategic measures we also showed to you on the Capital Market Day. Also here, we confirm our guidance, 0% to 5% growth and margin, 9% to 10%. Moving on to Intralogistics. Also here, we can see a slight growth, both in year-to-date figures, but also in the quarter. Year-to-date, 13.4%. Intralogistics actually also has a certain FX effect because quite a portion of their business lies in the U.S. Overall, growth by 13.4% year-to-date. Looking at the margin, also here a nice development, strong third quarter, 7.4%, bringing us to 7.2% year-to-date, whereas last year, we were 1.6 percentage points lower. also here the result of executing the strategic measures, but also a certain mix effect. And also here, we confirm our guidance of 15% to 20% revenue growth and also we are well aware of the very strong fourth quarter needed for that and EBITDA margin, 6.5% to 7.5%. Now moving on with everything which is related to the balance sheet, starting with liquidity, cash, liquidity reserves. As you can see, we are holding -- we were holding EUR 363 million cash and combined with used credit lines and free ones, we had a liquidity position or reserves of EUR 1.24 billion, which gives us sufficient room in under global economic volatile situation. And equity, starting first with the absolute number. As you can see, we have increased equity by EUR 107 million, which is the result of, first of all, net income, EUR 214 million in the reporting period, paying out the dividend, EUR 82 million, brings us with some miscellaneous effect then to EUR 2.029 billion, so above EUR 2 billion. And as our equity increased by 5.6%, our total balance sheet only by 1.5%. We have 42.1% equity ratio. Working capital also here, stable also compared to the situation in the last 2 fiscal years, so 17.2% as an average over the last 4 quarters. And looking at the breakdown, as you can see, received prepayments, around 17%. there as an absolute number, approximately where they had been '24, both September and December, so slightly above EUR 900 million. Inventory also here, 13%. So absolute figure, similar number a little bit or around EUR 700 million. Accounts payable, yes, 13%, so below what we had end of the fiscal year, but also end of September. You know that we are working on that number in order to get it a little bit higher. and receivables POC, yes, 35.9%. So very similar as we had at end of last year, and we are holding approximately accounts receivables and contract assets approximately EUR 2 million, bringing our working capital as an absolute number to EUR 1.051 billion, which is an increase by EUR 195 million. And that EUR 195 million, we can also see in the third line of our cash flow statement. And just concentrating on 2025, I mean, we spoke about EBT already other noncash changes, the most portion in here is depreciation, change in working capital, I already commented on it. Other assets and liabilities, major portion here is paying out income taxes, bringing us to cash flow from operating activities of EUR 174 million. CapEx, 2.8%. So under proportional yet, EUR 114 million and with the other brings -- that brings us to free cash flow of EUR 80 million, which we also commented in our press release and also in our first page of this presentation. M&A activities, I mean, some increase in the third quarter. In the first quarter, we only had the payout of the earn-out Ampco 2.2. Now we have the acquisition of CSW, so Can Systems Worldwide, which we talked about also on the Capital Market Day, EUR 31 million approximately and some stake also in GHS, which we also commented on the Capital Market Day. And with financing activities, mainly the dividend here brings us then to net change in cash of EUR 80 million and our cash at the end of the period, which we saw on the previous slide already or the one before. Cash flow year-to-date already mentioned, EUR 80 million, and our outlook for 2025 also did not change around EUR 200 million. I mean, as you know, Krones is very strong in its cash flow in the fourth quarter, and we are predicting the same for 2025. Last key figure, last guided key figure, ROCE, 19.5%. You see that we are more on the upper end of our guidance, 18% to 20%. And as I always say, this is a simple mathematics. I mean, EBIT increased by 11%, average capital employed increased by 10%, and that increased at the end, the return on capital employed. Overall, the capital employed in average increased to a bit more than EUR 2.1 billion. Yes.
Christoph Klenk: Good. Yes. If we look to the governance the guidance we have given for 2025, we confirm all 3 numbers. We are aware that there will be kind of a tough race by the end of the year to get our revenue growth managed. Uta mentioned already that we are impacted to a certain extent by currency developments. But nevertheless, we confirm all 3 numbers. And staying here, beginning of November, this statement is rock solid because we know pretty much where we are in all of the, let me say, 3 governances we have given, and we stand here with all the confidence we have into that. If we move on. Same thing for all our segments. We are in line with, let me say, the governance we have. And I can say we confirm here again once for all those that we are going to be into our governance we have given. don't want to go into details, which we might do them in the Q&A. Midterm targets, yes, even there, we -- and we spoke about that on the Capital Market Day as well. Our point was it will be not a linear way to go there. That was the statement. Not more to that today. Even that one, we keep as it is, no changes here. And then we come to the last slide, let me say, taking the key takeaways. But nevertheless, you heard all of them. I want to repeat it. We are happy where we are. We are confirming our governance for 2025. And if we look to our markets, they are robust. This is what we see. And with that, I would finish off our presentation and be happy to go into Q&A. Olaf, you are going to organize that one.
Olaf Scholz: Thanks a lot, Christoph and Uta for the insights of the third quarter or the first 9 months. Yes, we already got some questions in. So first one is Constantin Hesse from Jefferies.
Constantin Hesse: Olaf, can you hear me okay?
Olaf Scholz: Yes.
Constantin Hesse: Great. The first one would be, I mean, obviously, Q4, you have really good visibility on the back of your backlog. So I want to focus a little bit more on the order intake momentum that you're seeing in Q4 because in order to keep that book-to-bill ratio at 1, you're also implying that your order intake is going to be quite strong in Q4. So I'm wondering where are we on order intake? And maybe you can share a little bit of feedback following drinktec. Yes, let's start with that one.
Christoph Klenk: Yes. All right. Yes, that's -- logic is absolutely okay and expected that question that this will come. I mean I would phrase it this way. We are -- we have a lot of final negotiations scheduled for Q4. And I would say all of those seems that they are really finally scheduled because one of the problems in 2025 was that we have a lot of -- had a lot of postponement in finally or in scheduled final negotiations. Now it looks like that these final negotiations are becoming true. And once they are becoming true, I think we have pretty good visibility which orders we are going to win, okay? Because this is not by surprise, and I think we have a very good prediction on where we are. And this is the reason why we still stay with our statement, we will be year-on-year at around 1 in terms of the order intake compared to sales. So book-to-bill ratio around 1. And yes, that will be a pretty strong Q4. And from all what we see in the pipeline and even more important from the dates which have been agreed on for final negotiations, it looks like that this is reasonable. The only thing which we can't predict is that somebody comes up in the last minute and say, no, the budget is not there anymore, and we might postpone it to Q1. This could be, but it's not likely that it's going to happen. So that's the reason why Yes, we have this, let me say, optimistic view. Second, and you had a good point in what about drinktec and the consequences out of that. One good thing is that we had very good discussions on drinktec, how would be the rest of the year. And this had been continued, let me say, over the last weeks that we have been in constant discussion where our customers are with the bigger orders they want to place. And again, this one is confirming what I just said that those dates, which are set for the final decisions, most of them, I would say it this way, but the biggest amount of those dates look like it's going to happen. And that's again why we are confident for our statement book-to-bill will be around 1.
Constantin Hesse: This is great. Can I just follow up? I mean, this momentum, I mean, obviously, macro overall continues to be relatively sluggish. So going into next year, you obviously said that your customers are behaving a little bit. I mean some of them are, I guess, still a little bit slow. Some of them are still postponing orders a little bit. So with that potentially improving in '26, would you -- could we potentially see an acceleration again in order intake in '26?
Christoph Klenk: If you don't misinterpret it could, yes. Now I want to be serious on it. I mean we are talking right now about 2025. And I said it earlier, our pipeline is good. So if we look -- first, we need to finish off 2025. And I would say, if you look to next year, we don't see that the momentum is going to be lost. That's the statement I can do. What we have in the pipeline, which is already then true for 2026 looks even good and which I would say there is a -- we are realistic, optimistic for next year. Realistic, I have to say, in accordance to the global economy situation. I would make this statement, but not more for the time being because first, we need to finish off 2025 and then we talk about 2026.
Constantin Hesse: Perfect. That's fully understood. And jumping over very quickly to volume versus price formula. Maybe you can talk a little bit about the competitive environment at the moment and how pricing is behaving here? Because I think the commentary was that pricing is stable over 9 months. So maybe just a little bit of color on a quarter perspective.
Christoph Klenk: Yes. There has been no change at all in terms of pricing that's stable and we are managing that quite well. I mean, for those of you following us for a longer period, maybe that was one of the most essential changes we have made that we are knowing today on any order where we are in terms of contribution margin and that we are managing that order by order. So I would say the price level is good and stable. There is no, let me say, complain at all that somebody from competition would behave in a not expected way. So I think the market is quite reasonable in terms of pricing, what we can see right now.
Constantin Hesse: This is great. Last question for me. Just if you could do a bit of a reminder on where you are in the ramp-up or the capacity builds overseas.
Christoph Klenk: Yes. I mean that's pretty simple because so far, we are in the stage of building the factories, which is all the time pretty easy compared with starting them up. So none of the new factories has been started up. Everything is on schedule. And we are looking forward that in both of the factories in India and in China by mid-2026, we are starting production. And I would say even there, we are very optimistic because with the learnings we have from the start-up we had in Hungary at the time and the start-up we have done and the, let me say, acceleration program we had already in China, we have a lot of experience how to do. And we are using those people who have made in Hungary and in China, the last start-ups. There's a very professional team together. So I think it will go relatively flawless from what we can see right now. Even in the phase of -- we have in India, we have already the core team on board. And in China, it's anyway, let me say, managed by the team we have already 4 years. So I would say, all in all, everything is in line. And this is true even for North America. I mean we are in the process of getting new machines there, which are important for our spare part business that we can do all the spare parts, which we are manufacturing ourselves. Some of them have been coming from Germany. They are now localized in North America. This gives us perspective in case we want to extend new machine business for production in the U.S. So all in all, everything is perfect on track. So we are quite happy where we are.
Olaf Scholz: Thanks to Constantin for your questions. The next, I got through e-mail, but he will ask this question by his own. Benjamin Thielmann from Berenberg. Can you hear me?
Benjamin Thielmann: Yes. Okay. Cool. Two questions, if I may. First question would be trying to get some color on what we could expect in Q4. I mean, I understood that Q4 is probably going to be a strong quarter. It, to some degree, must be, so you guys get into the 7% to 9% top line growth corridor. And if I strip out the drinktec one-off, we have seen in Q3, is it fair to say that we're maybe even seeing a margin at around like 10.9%, maybe even hitting the magic 11% in Q4 this year?
Christoph Klenk: This is certainly a question for the CFO.
Uta Anders: First part of the question, which was about volume, yes, I mean, we do the calculations you also do and seeing what 7% means and what 9% means and -- but to take it serious. I mean our last forecast confirmed one more time the 7% to 9% also regardless of FX effects. So this is net of these effects. I mean -- but of course, if you look at the quarter itself, I mean, in order for it to end up at the upper range, it would have to be really, really, really high. So some -- I mean, we expect maybe a growth for the quarter at around 10%, maybe a little less, so kind of that to achieve our 7% to 9% growth rate. And then speaking about EBITDA, yes, Q3, as we had said, was hit by drinktec. And with the volume effect coming from Q4, but also on the negative side, maybe some negative mix effect, we expect a good -- a very good fourth quarter. Will it be -- I mean, I will not say this magic number actually. I will not say it. But we expect a good quarter. And we also -- I mean, speaking about the guidance, 10.2% to 10.8%, we are at 10.5%. So I think our expectation is also at least not to decrease. And I hope this answers your question.
Benjamin Thielmann: Yes, it does. Maybe a second question, if I may, is on taxes actually. We have seen that, for example, in Q1 this year, tax rate was up probably 300 bps year-over-year. Q2 was then in line with last year. And now in Q3, we have seen that the tax rate was a little bit higher than last year as well. I was just wondering what could we aim for in Q4 or maybe for the full year? Is it fair to say that we're going to be somewhat in line with what we have seen in Q4 last year? Or is there anything I should bake in?
Uta Anders: I mean the expectation currently for the tax rate for the full fiscal year is similarly on what we are today. We don't expect any change there. And also maybe a little bit of color, why is it at 29.3%, I believe, 29.3%. I mean we are utilizing also the tax loss provisions we are having, so tax loss carryforwards. We have nondeductible expenses also what we also see in all countries that -- how can I say it, that every country looks more and more in getting taxes. And that by itself increases a little bit the tax rate. But for the full fiscal year, 29% is a reasonable figure.
Olaf Scholz: And the next question is coming from Adrian Pehl from ODDO.
Adrian Pehl: Okay. Perfect. Just, I mean, rephrasing a little bit the question on the remaining growth that you have for Q4. Actually, I mean, lower end of the guidance is somewhat shy of 10% you need to grow. I just want to hear a bit your words on the production capacity and the risk of spillover of some deliveries into Q1. Do you see something more pronounced here on that end? Or are you fine with the setup to deliver, obviously, on the lower end. I mean the high end would mean even more deliveries coming into Q4. And the second question is on, again, order intake to some extent. I mean, obviously, yes, Capital Markets Day on the fair, most likely good discussions. But I just wanted to get a sense on the phasing of the order intake in Q3. And maybe you could share a few words on the developments in October until now, if there was some sort of acceleration, I mean, again, could be from drinktec, could be from macro, whatever. So that would be helpful. And then I have 1 or 2 follow-ups.
Uta Anders: Yes. I mean let's start with revenue Q4. I mean we have different sources of revenue. I mean, life cycle business, which is stable, also has some seasonality in Asia, for instance, positive in Q4. That is one of the source. I mean, overproportion in intralogistics, as you saw, that also comes into play or plays an important role in delivering our revenue. But most importantly is we have, in particular, with October and November, 2 very, very strong months here in Germany, a lot of working days that helps us. And I mean, also delivering as per the delivery dates helps us and is forecasted. And taking this all together makes us confident that we achieve our growth target and deliver a much higher Q4 than we had Q4 last year.
Christoph Klenk: And to your point, is there a split over? No, we don't see that. Not at all. I mean if I have been understood this way when I stated something, this was not the intention because the split over, as Uta said, because the -- let me say, the higher amounts of, let me say, lines and equipment we deliver are fixed to delivery dates, and that's the reason why we don't see a split over. To the order intake, October, October was actually, let me say, in line with expectation. It was not, let me say, the average of the 3 months we are going to need or we need to have for the statement we have made. It was from the beginning clear that November and December will be the months of decision. And again, that has to do how final negotiations have been scheduled. So October was a reasonable month, but it was not extraordinary. But that has no impact on the forecast we have because, again, the larger projects are based on scheduled negotiations. If we look to the, let me say, repeating order income from life cycle and maybe from components, that's different. They have been -- the October have been strong. That's good. And that -- but this is all the time, the same by the end of the year, the last 3 months for those products, which are, let me say, I wouldn't call it commodity, I would be blamed internally. But if you look to the commodities and service, spare parts and components, the last 3 months are all the time strong. So this is the view on it. And because of the discussions after drinktec and in particular, those discussions we -- and this includes me as well, we had over the last 3, 4 weeks, we are making that statement that November and December from what we can see right now looks good.
Adrian Pehl: All right. I appreciate it. And then 2 probably smaller questions left. One is, I mean, regions, you said, well, nothing to really speak about. On the other hand, if you look at Q3 developments in China, that's the only one that popped up for me as that was relatively weak also sequentially. I mean, obviously, I know you had a strong base last year, but any words on that, if we should expect some slower revenue trajectory in China would be helpful. And very lastly, on CapEx, I mean, the run rate that I saw, I think, is not overly -- was not that much in the 9 months on average. So should we see an acceleration of CapEx spending also in line with the capacity that you're ramping up? Or is that going rather into 2026?
Christoph Klenk: I'm going to answer on the question to the revenue in China in Q3. I think that's just the timing effect. I mean we don't see any, let me say, major issues in China right now. So we maintain the stable level we have, and that might have to do with bigger orders, which then coming in the next quarter and not in this quarter. So very simple -- this is the simple reason. The order intake in China has been absolutely reasonable. We are well set with the factory we have there. So I would say the Chinese business, even it's not easy because we all know the economical situation in China is challenging. But all in all, I think that goes okay.
Uta Anders: Then I will comment on CapEx acceleration, yes, that's forecasted. That's part of the plan. So here, we are backloaded when we have bigger projects, which we have. So we expect quite some CapEx in quarter 4. And -- but this is also speaking about free cash flow. This is included in our free cash flow. So it's not only that we will have higher outflows, but also higher inflows.
Adrian Pehl: Is that a number similar to last year's Q4 basically?
Uta Anders: I say, yes, approximately slightly higher because I think we are at 2.9%, were at 2.8%. And as we had the same forecast approximately, I would say slightly higher -- yes, slightly higher, but approximately, A, approximately the same.
Olaf Scholz: Adrian. And the next one will be Lars Vom from Deutsche Bank.
Lars Vom Cleff: Two questions remaining. Unfortunately, I try to come back to 2026. And looking at next year, you stated that the order intake or with regards to the order intake that the momentum is not lost. So looking at the Bloomberg consensus, not at least after your Capital Markets Day, consensus is expecting 5% revenue growth, which would be below your medium-term CAGR of 7%. Do you see that contradicting? Or are you happy with the 5% you see? As the expected growth currently?
Christoph Klenk: Since my statement on drinktec has been not a favorable one, stating about what we are going to see next year. I'm very hesitating today to comment further on any terms of revenue, sorry when I be so strict. Again, I did say that the momentum is not lost. We did say and we say that and maybe it was not a good statement, we will slightly grow next year. This we have said, but today, we are standing here and talking about 2025. And we are looking with good optimism, realistic optimism into 2026. And we were making -- we made a statement that our path to EUR 7 billion will be not linear. So this is -- sorry, when I be so strict on that one today because I don't want to repeat, let me say, misinterpretation. And we will say there is growth for next year. This is our statement, and we stay with that one so far.
Lars Vom Cleff: Okay. Perfect. Appreciate it. And then you stated in your prepared remarks that the -- in absolute terms, North America is okay. However, if I remember correctly, you said with the Q2 reporting that North America has the potential to show increasing momentum again in the second half. Is that statement still true? And does the rest of the world only has grown or has only grown stronger recently? Or is North America growing slower than you earlier envisaged?
Christoph Klenk: I mean first of all, we need to, let me say, frame a couple of things. If we talk about the revenue in North America, that has 4 major components. Number one, that's the new machine business and line business from our core segment. Second, it's the life cycle, it's into logistics and it's processing. And when you look to processing and into logistics, they are fully localized and they are developing in the right manner, so everything is fine. Lifecycle Services is the strongest in Q4. And new machine business, where we generate revenue right now, those are all orders which have been placed before anybody talked about tariffs. And since -- and this is different, new machine business the import duty is on the customer side. So there is no impact for those revenues being generated in Q4 from the equipment shipped from Germany to the U.S., just to make that sure. And yes, we stay with the statement how things are scheduled that -- and that has even to do with how installations and commissionings are made. Q4 looks strong for the U.S. That's the statement. And as I said, life cycle is stronger in the -- at the end of the year. So that contributes as well to, let me say, a good outlook in terms of North America for Q2 -- Q4 in 2025. And then again, of course, it has to do a bit with the growth we have around the world that what I said, the decrease in North America, it looks like a decrease However, if you look to -- in absolute terms, it will be quite stable. It has been not growing, but it has been stable. And this has been already anticipated that has nothing to do with tariffs before because there have been very strong investments, let me say, in 2022 and in 2023 to the U.S. market. And it was clear that in 2025, it will be a bit flattened out. So no surprises here for us at all. And the perspective on the U.S. market is good. I have to say, because if you want to hear one remark, it looks like that by Q4, customers are, let me say, familiarize themselves with tariffs. And it looks like that they see that the business cases are not disappearing with the tariffs. And that makes us, let me say, to a certain extent, confident that in 2026 and 2027, despite the tariffs, our business will normalize in the U.S.
Olaf Scholz: Thanks from Lars and questions. So I check my e-mail. No more questions through the e-mail channel. So perhaps once again, if you want to have some questions, run.
Christoph Klenk: If there are no further questions, Olaf?
Olaf Scholz: I don't see any. Sorry. Too early. But I see you're raising hands now. Yes.
Unknown Analyst: Can you hear me okay?
Olaf Scholz: Yes.
Unknown Analyst: Firstly, apologies from Stefan Bauer who's actually traveling today. But we had a sort of high-level question. Just going back to your feedback on drinktec. And you spoke about the business case just now being in place. But we just wondered when you were talking to your customers at drinktec, what are the high-level sort of key motivations, which are still driving these sort of very impressive growth rates, whether it be savings on electricity, savings on water recycling capabilities or digitization, which you highlighted at the beginning of the presentation.
Christoph Klenk: I mean the major feedback, I mean, if we look to the line concept and the life cycle concept we showed on drinktec. I mean this carries one thing which is very important for our customers. This addresses their OpEx costs because the model as such, generates more output at same cost levels. And if you do -- if you introduce something like that, the interest is overwhelming. I can really say overwhelming in the sense of -- I mean, if we would have everything available tomorrow, I mean, we would get it from our customers immediately. Nevertheless, I mean, we spoke in length about that, that it takes at least 2 years until we get the business model established in the market and things are going in the right direction. So this was certainly the overwhelming status. The second takeaway, and this is maybe for me, even as important as having introduced a new business model into the future. I mean all what we presented has been based on what our customers said 3 years ago. And the speed in which we executed those, let me say, request statements beyond expectation. I mean they have -- nobody has expected we are going so far with the manless line. We are going so far with autonomous material supply so far with the life cycle concepts that we have in a time period, executed and the line was in operation. It was not somewhere a showcase. It was in operation on a never seen level before in that speed. I mean this was an important message for us internally that we can innovate with high speed. And this counts even more if you look to, let me say, the mid- and long-term challenges in the market, and I can say, of course, there are Chinese competition, that we are on the innovation side in the right direction. So that was the second key away. And I can say number three, teaming up with all of our customers because if you are on a show, you have different dialogues because if you go in the day-to-day business to a customer, you mainly talk about problems with our customers, this installation, this performance, blah, blah, blah, on a show, you talk about the future, about what is in 3 and 5 years. And the feedback we got about our positioning makes us very confident and I say again, humble about what we can achieve in the future. So that's -- if you would ask me the major takeaways. Then in addition, the portfolio we have showed. And I can say we have been earlier talking about the Netstal acquisition. I mean that we made this step that we are, let me say, in the recycling loop, if you look to that, is going to be closed with a lot of know-how from us. Second, that in the mid and long term, with injection molding, we can run different aseptic concepts that we have presented our visions forward. So again, this has been received with a lot of respect for Krones, what we have done. So this is the takeaway we have. And I would say, at the end, we have been very happy with drinktec. And again, as I said, we still say humble because we are looking out. We know who is out there as a competition and how hard we have to fight that we maintain the position and manage our growth.
Olaf Scholz: I also see the Benjamin Thielmann. Ben, you have additional questions, please?
Benjamin Thielmann: Yes. Maybe just one quick follow-up, if I may. I was just checking as a quick industry read across. Was there anything that you would consider to be weird in your Q3 numbers, maybe in your Process Technology division in terms of end market exposure. Was there any weakness that we have not seen in H1, maybe in the liquid dairy market, for example?
Christoph Klenk: No. I mean we are not so much exposed to the liquid dairy market. While we have some business in there. If you look to processing, I mean, the only thing, and we said that is that the bigger projects are missing in Process Technology that has, I would say, mainly to do with breweries. But nevertheless, we could compensate nicely with the other businesses we have developed. So -- and again, no surprise here because we did expect already from the beginning of the year that the breweries will be in terms of investments low. We managed that quite well. So there has been no surprises from us in that particular part, I would say.
Olaf Scholz: Thanks to you, Ben. So then I have a look once again on the e-mail channel. So no further questions, e-mail channel, and I don't see any raised hands in the Teams channel. Christoph?
Christoph Klenk: Yes. Then thanks a lot for listening today. And I hope we have been as, let me say, predictable and robust as you are used with Krones. And again, final statement is we, myself and the complete team here at Krones is very confident about our governance in 2025. And then we are looking forward to talk to you next year. Thanks a lot. Have a good day, and have a good week, and have a good remaining year. Thank you.
Uta Anders: Thank you.
Olaf Scholz: Thanks to you. And now we close the call.